Operator: Hello, and welcome to the Ideanomics Third Quarter 2019 Investor Earnings Conference Call. At this time, all participants are in a listen-only mode.  For opening remarks and introduction I like to turn the call over to Tony Sklar, Vice President of Communications and Head of Investor Relations, Ideanomics. Please go ahead, sir. 
Tony Sklar: Thank you very much operator, appreciate that. And welcome to the Ideanomics Q3 2019 earnings conference call. Joining me today, I am pleased to have Mr. Alf Poor, Chief Executive Officer and Mr. Conor McCarthy our Chief Financial Officer. A webcast of today's call will be archived and available on the Events and Presentation section of our corporate website for a minimum of 30 days. As a reminder, this conference is being recorded. During the call, we will make forward-looking statements such as dialogue regarding our revenue expectations or forecast for the quarters and full fiscal year 2019 and 2020 related to our business. These statements are based on our current expectations and information available as of today and are subject to a variety of risks, uncertainties and assumptions. Actual results may differ materially and as a result, various risk factors that have been described in our periodic filings with the SEC. As a result, we caution you against placing undue reliance on these forward-looking statements. We assume no obligation to update the forward-looking statements as a result of new information or future events except as required by law. In addition other risks and more fully described in the Ideanomics public filings with the U.S. Securities and Exchange Commission, which can be reviewed at www.sec.gov. Today, November 14, 2019, the company filed its 10-Q with the SEC and issued a press release announcing the financial results. So, participants listening to this call who may not have already done so, may wish to look at those documents, and as we provide a summary of the results on the call. For today's format of call will be as follows; Mr. Alfred Poor, our CEO, will speak to the company's overview and business strategy and as well as the activities and developments for the third quarter 2019, and Mr. Conor McCarthy will speak to the company's operating and financial results for the third quarter 2019; and then everybody's favorite our Q&A session. So at this time thank you very much everybody. I'll now hand the conversation over to Mr. Alfred Poor, CEO of Ideanomics. 
Alfred Poor: Thank you, Tony, and thank you to everyone on the call today. Conor will take us through the numbers next. So I would like to start off with some general comments and then I will talk to the current and planned activities for each about operating divisions and subsidiaries. The main highlights is the Q3 was a breakthrough quarter for Ideanomics in that we realize that first revenues from EB activities. These revenues serve as the foundation for what will become our largest revenue-generating division, in the foreseeable future and we are very excited to have revenues underway. As part of improving our focus as a business, we've taken the decision of board of management level to spin off or divest all non-core assets. This will leave us two primary revenue divisions, make business unit and our financial services business unit which includes DEBOT and Intelligenta. This is an important step that will enable us to focus our energy and resources as well as simplify our business operations for our shareholders and the market in general. In terms of personnel, we added a number of key individuals to the organization in Q3. At the Ideanomics level we brought in three new US based board members two are independent and one is from our DEBOT business and well as our new CFO came on board, Conor McCarthy. These appointments are reinforced by Ideanomics with additional experience and acumen in everything from governments to growth planning and will help us take the business to the next level.  Within our MEG business unit we brought in top level executives with experience in the EB automotive, lease financing and clean energy industries. The MEG executives have been on board for less than two months at this time, but have already begun to have a positive impact on all aspects of that unit's activities, as I will speak to in a moment. Expenses in the quarter reflects a couple of extraordinary items, one being the options expense for the management and staff incentive program and the other being the write-down cost of the buildings marked for demolition of intake village, as well as some ongoing costs for the remediation and demolition itself. In terms of general operations, we're up and running in the US with NETs suite as part of the investment to streamline our cross-border accounting activities as well as support our ability to report as an accelerated filer in the future. One other area of operations worth mentioning is that with sublease some of the unused space at 55 Broadway and we're working to solidify couple of verbal office to take on what is remaining. Both of the general operational uptake so we now focus on that individual business units. There are several very important development on MEG division that I'm delighted to share with you but before I do so I want to talk about make a high level, so that our shareholders can understand our MEG business model which we call S2F2C, sales to financing to charging.  When we sell to our fleet a customer, the messaging is simple we guarantee the best vehicles at the best price with the best time for your business needs. We do this by offering fleet operators group by and end -- financing programs so that they can convert the Treeletrik. Their incentive outside of rebates legislation is based on the savings achievable into key cost areas, one is energy costs and two is maintenance costs. For the sales and financing the S2F we derive revenue on group buying spreads and from origination fees but that's just part of the model. This is a very impact part that I'm going to explain now which is by enabling large conversation to Treeletrik vehicles. We create large-scale demand for energy. Within partner with utilities and other energy providers to meet that demand so that we can participate in recurring revenue streams from vehicle charging stations and from prepaid electricity purchased by last fleet operators. By participating the full value chain of S2F2C we are influence in each important step of the process, while at the same time providing tremendous value-added services and convenience fleet operators. I hope that clarifies our MEG business model for everyone. I like to continue to make overview, we achieved a significant milestone in Q3 and that were able to onboard our first revenues in delivery of 4172 EV taxi and we anticipate Q4 seeing another 5000 so EV taxi deliveries with that continuing thereafter throughout 2020.  Additionally, as some of you may have already seen, we announced the second large EV taxi ordered this morning being 35,000 units from union providence to be delivered in 2020. In Q3, we took the decision to rename our EV business unit to mobile energy global as part of that decision to bringing China base clean energy provider CGL as stake holder. We mobile energy as we felt it best encapsulates industry we are in, adding global to demonstrate our ambitions to expand our activities throughout the world. As MEG has developed over the past few months we just stood up four distinct operating segments, each of which is designed to help focus our efforts on what we believe are the most significant revenue opportunities in the EV market. Each of the segments is categorized by vehicle type and according to its market size and importantly, these are vehicle times with revenue streams which is important when it comes to financing, I'll get into that in a moment.  Segment number one is heavy commercial vehicles with a focus on vehicles used in mining, steel mills, airports and seaports. Number two is like commercial last mile logistic vehicles which are banned from smaller trucks. Number three is buses and coaches a number four is taxi. GCL's 49.9% stake is held in MEG segment two which is like commercial as more logistic vehicle the clarity I would like to say that this is very important for our shareholders on the call today to understand. MEG is a wholly-owned subsidiary of Ideanomics of which GCL is a 49.9% stakeholder and is like commercial segment. As a part of stake in this second GCL contributing sales orders of 500,000 like commercial electric vehicles over the next three years.  In terms of MEGs offerings as detailed in Monday's market update the MEG management team is focused on developing attractive financing programs for the EV market in Q4, as it is become clear to us that existing lease financing models have not focus sufficiently to support the commercial EV market. More specifically, it would cause solstice [ph] underwriting conversations with financing problems with every deal requiring the spot underwriting and it simply doesn't scale. Problem lies in setting the residual value of vehicle's who's most valuable asset is a battery and energy storage practices which is consider portable and is 35% to 50% of the vehicles value.  Hypothetically was equipment of determining the future value of car who's engine could be swapped out any time. To cut long story, we put together consulting our partner to provide umbrella financing that will come to market in Q1 2020. The reason it will take Q4 to complete and Q1 to rollout is that we need time to set and SPV to house the activities and some other market dynamics required. In Q2 we will see the programs come to market for the fulfillment sales orders, we believe these new tail of packages specifically fleet operators will present a barrier to entry for other participants in the near-term. Our activities in the ABS financing area still pending asset availability, so there has been some progression structuring of these packages, which should also streamlined time-to-market in the future. As detailed in the Q2 call, we will notify the market when the first asset by packages are ready to go to market. Treeletrik as part of MEG continues to develop and has expanded into Indonesia where it is working on securing orders. As part of their ongoing discussions with the Malaysian government 93 year lease of 250 acres of land in the port area South of Kuala Lumpur has been transition from the lease to a grant of title which is been processed at this time. This will enable Treeletrik to utilize the land, to capitalize the assembly plant activities, and will be a substantial asset coming on to the balance sheet for Treeletrik in Q4, Q1 of next year, depending on how quickly the line title administration is completed. We invited the Treeletrik team to Beijing in October to jump on for planning sessions and to allow them to receive updates on the MEG activities which they can leverage in the region. From the [indiscernible] of the Delaware border trade we call this speed boat as you may of you know, we've invested a considerable amount of time and resources into DEBOT since the acquisition, migrating then into new trading platform and preparing them to become a market by this for the first time.  I would like to note the asset put in New York-based product and project teams and also Nick [ph] and software engineering teams in the Ukraine, which were previously focus solely on comments right on great fund. Without a monumental effort by these folks and others, including a mark on the design teams as well as the core team we would not been able to transform platforms so quickly and efficiently. We brought Joe Velanza on Board to lead revenue development for DEBOT and he is been successful securing interest that will help ensure DEBOT will grow its revenue steadily over the coming quarters.  We've also aligned liquefies tokenization platform at DEBOT so that we're prepared for the total economy once to get FINRA begins to allow rig plus secondary market trading of digital securities. We continue developing our plan for using the DEBOT ATS as the destination for fixed-income, including recent debt products and also the areas which lend themselves to fractional ownership, such as ours. As previously mentioned Ideanomics and DEBOT are only interested in having DEBOT pursue asset-backed to regulatory compliant digital offerings at this time.  Intelligenta, we're planning to expand the offering of Intelligenta as IR base solutions in 2020 two include AI offerings for payments clearing systems as well as the current offerings and custom big data RegTech, risk mismanagement among portfolio underwriting. We can sit continue to see good interest on the financial services community, and we anticipate to driving revenue from this business units in 2020. Fintech village remediation demolition activities are underway at Fintech village, that effort will continue for several months and we hope to answer this spring with the property clear with hazardous materials and prompts for development. As the buildings come we will be requesting a review of our current tax assessment now that we just assess the proven have been removed. Great prime, we've invested in great prime in terms of its platform on website. And of course with the launch of great prime village or revenue channel, which links same in marketing to online commerce. Our intention is to divest spine off great prime to include the comments made at offering in the near future. and these investments were part of preparing the business. Accordingly, we will be retaining and expanding the comments right on engineering team for future software development needs in areas such as trading systems, AI and block chain.  As regards to GTB, due to the significant drop in GTB value in recent weeks we are actively seeking investors who swaps the company's crypto currency holdings for assets that are more strategically aligned with the company's business model and with a shorter path to liquidity. We're in discussions with at least one party at this time and we've shown interest in taking on that GTD BTC and holdings. Thank you again to everyone on the call today. I understand that this was a good deal of information and I want to thank you for your time.  Back to you, Tony.
Tony Sklar: Thank you so much. I will now turn the conversation over to our Chief Financial Officer, Mr. Conor McCarthy. 
Conor McCarthy: Thank you Tony, good morning. Revenue for the third quarter ended September 30, 2019 was $3.1 million as compared to $43.7 million for the same period in 2018, a decrease of approximately $40.6 million or 93%. The decrease was principally due to a transition of our business from logistics management to the procurement, financing and provision of charge and energy management services to the fleet commercial electronic vehicle market in China and the Azienda [ph] region. Our plans for the three commercial EV business were explained in the update be provided on Monday and will be further discussed on this call. This quarter we generated our first revenues from our electronic vehicle business, we complete an order for 4172 taxis and earned $2.9 million as commission. The revenue on this order was reported on a net basis to explain further, we recorded only our commission and not the full sales value of the order, which is substantially larger. The decision to record revenue on a net gross basis is disturbed is determined by US GAAP and depends on the facts and circumstances of each contract.  Going forward, we anticipate that most contracts will be structured so that revenue recorded on a gross basis. However, it should be noted that these contracts for fleets of electronic vehicles are enterprise sales and the terms of each contractor heavy negotiations so there maybe contracts that have terms and conditions that result in revenue being recorded on a net basis. In either case, whether we record on a particular contract on the gross or net revenue or profit on that contract will be the same on either match.  In March 2019, the company entered into an agreement with GTD whereby the company agreed to provide digital asset management services that the company recorded revenues of $41 million in the first six months of this year. The company earned no revenue in the current quarter from this digital service agreement and does not anticipate any revenues in the fourth quarter. Cost of revenues was $2 billion for the quarter ended September 30, 2019 as compared to $42.8 million for the quarter ended September 30, 2018 a decreased for approximately 42.6 million or 99%. From a comparability perspective, the cost of revenue in 2018 is not indicative of the new electronic vehicles for Fintech business in 2019. Cost of revenue during 2018 was primarily associated with the logistics management business, oil trading and electronic trading which traditionally has a very high cost of revenue and lower gross margin, while the cost of revenue during the third quarter 2019 is primary associate with our Fintech service business and great fund.  Our gross profit for the quarter ended September 30, 2019 was approximately $2.9 million compared to $0.9 million during the same period in 2018, representing an increase of 231%. The gross profit ratio for the quarter ended September 30, 2019 was 92% versus 2% during the same period in 2018. The increase is mainly due to the cessation of the low margin logistics business and recording the first revenues from our new electronic vehicles business on a net revenue basis. Total operating expense for the quarter ended September 30, 2019 was 12.3 million as compared to 7.2 million for the same period in 2018 increase an increase of approximately $5 million or 70%. This increase was principally due to the following, a share based compensation expense of $2.6 million an impairment charge of $2.3 million relates to the decision to tear down rather than refurbished four of the five buildings at the site of our proposed Fintech village in West Hartford, Connecticut. Increase in depreciation and amortization expense of 0.5 million related to acquisitions during the period and the general increase in other expenses of $0.6 million; this is partially offset by a reduction in R&D expense of $0.7 million. To summarize the increase in expenses, overhead cost in third quarter was due almost entirely to non-cash charges. Loss per share for the quarter ended September 30, 2019 was $0.11 per share as compared to a loss per share for the same period in 2018 of $0.10 per share. As of September 30, 2019 the company had cash of 1.7 million total assets of the 165 million, Total liabilities of 47 million and total equity of $116 million. Finally company as well on its way to completing the infrastructure to precise self-finance and provide charge and energy management services to the fleet market for commercial vehicles. A business, which provides fees for the sale of financing vehicles and recurring revenue streams from charging and energy management. Thank you. Back to you, Tony.
Tony Sklar: Thank you so much, Conor. And this concludes management prepared remarks and now it's time for us to open up our form to our investment community for our Q&A session. I'm going to give couple of minute here to get their hands up in the system and we will be able to start. 
Operator: [Operator Instructions] Our first question today is coming from Peter Banner [ph], a Private Investor. Your line is now live.
Unidentified Analyst: Just wondering the status of the development in West Hartford as far as demolition and projected construction timeline.
Alfred Poor: Hi, Peter yes thanks for the question. Yes, Fintech village is well underway under the permanent process for each of the demolitions of the buildings. I can tell you that one of the larger buildings, was the social work building is completely down and the waste is been removed at this time. The second building which is the underground building is currently being demolished. Process takes several weeks, mostly because it requires a large fleet of trucks that mean every day and take the waste away. So the waste has to be processed immediately as it's taken down and it's taken out to other states where you have paid facilities to process PCP waste. So we're on target, we're hoping we can get the demolitions finished over the winter period, there is nothing the weather should stop because it's something that we continue if there is an frozen ground and a bit of snow cover and then will be looking to get underway for the development with a clean property from the spring onwards. 
Operator: Thank you. Our next question today is coming from John Hurley [ph], a Private Investor. Your line is now live.
Unidentified Analyst: Hi guys, thanks for the time. Two quick questions for you, one can you help me understand the 2.9 net from the EV taxis, what would like it gross to the top line and then I guess the second question is, can you provide a little bit more guidance if call it roughly 5000 taxis is 2.9, the recent PR 35,000 taxis get you to call it 22, net, how we do understand the 2 billion topline press release from earlier in the week?
Alfred Poor: Conor, do you want to type the first as regards to the taxies that we just booked and the taxis that GDB booked in Q4 in terms of gross proceeds net and then I will take the secondary one. 
Conor McCarthy: Okay, good morning. In terms of if this had, if the taxi order that we just completed for the city of Chengdu had been reported on a gross basis. The gross value would mean approximately $48 million and cost of revenues would have been about $45 million, giving us the approximately $3 million profit. So that's the first point I want to make is that under either scenario gross and net booking you get to the same gross profit amount. And in terms all the what does this look like for the future, we just really the question I think is what do we expect our margins to be and obviously going to my early remarks all of these contracts are highly negotiation because they are enterprise contracts, but I think we be fair to say that we be looking for margins in the same region going forward. But it has to be a caveat round out that each deal is negotiated but then a good target margin to pencil in.
Alfred Poor: Thank you, Conor. So John I think fairly easy to take a look at the situation of the curve in Q3 with the taxis and then the outlook for Q4 kind of said each can vary. But the gross numbers for the taxis which we couldn't book because the invoicing -- we took the order open and the majority of the invoicing had taken place, even though we're able to retain the commission for the spread on them. Would have been something in the region of $47 million equivalent. So 5,000 taxis, you can scale that up accordingly so it would be a $50 million-plus gross booking on a 5,000 taxi number. As regards to the market update that went out earlier in the week with the much larger number on that, as I mentioned in my segment of the call GCL has a contract with the Chinese government to supply around 500,000 light commercial vehicles to many state and entities. That activity will start as soon as those financing packages are in place and that will be a large contributor to our revenues next year. And we anticipate revenues from each of the 4 sections that we've set out, as well as from the ABSV financing for the city buses. What am I clear on the city buses because people have been expecting to see those revenues and they're not subject to the sales aspects of it. The order tickets were underwritten by the Chinese government so we don't play any part in the procurement and delivery although we do work with the manufacturers to understand when the units will be delivered. So as soon as we get sufficient units delivered in the cities that we're working with, we can package up the ABS and that will contribute to the 2020 revenues as well.
Operator: Thank you. Our next question is coming from Jim Mitchell [ph], a Private Investor. Your line is now live.
Jim Mitchell: Good morning, gentlemen. It was good to see the 4,100 taxis go through and be recorded this morning. Can you break down the quantity of what has been delivered and build to date? Seeing is that it's halfway through Q4 as it relates to taxis, buses and other vehicles, including the ones from Malaysia?
Alfred Poor: Absolutely. So I'll start with Malaysia. In Malaysia, there are no taxis and bus sales anticipated for Q4 there. They are still certifying the vehicle types with the Department of Transport that they're looking to fulfill orders with. Essentially what we're doing there is the smaller vehicles are made by Tree. So the light commercial trucks, the electric moped bikes, et cetera. But the larger vehicles to place some of their orders are essentially coming in from China. And we'll be working with manufacturers to put the Tree brand on those. Those need to come in and go through the Ministry of Transport certification process as I said. That's a multi-month process. Not terribly expensive costs about $60,000 per model. And it's 3 models currently in the process and about a further 4 that will help us fill out the product range for Treeletrik. In terms of -- can you repeat the first time the question again, I'm sorry?
Jim Mitchell: How many buses and taxis have been delivered to date and Q4 for the rest?
Alfred Poor: Okay, so the buses are held pending the finance packages being put into place. And taxis are part of an ongoing delivery. You can just drop 5,000 taxis on a municipality. That has to happen on a rolling basis. We've given the number that we believe will be delivered as conservatively as we can without providing formal guidance. So we believe that we'll deliver in the region of 5,000 this quarter. There are bus deliveries happening which will be under the ABS refinancing program. But as I mentioned, we don't control the sales orders for those. We're just waiting for those assets to be delivered and then we package them up with the capital markets partners and then take them to market. So they're ongoing as well but we don't have control over that process because we're not part of the sales order. We do have some influence but again, it's a rolling production.
Jim Mitchell: And that relates to the city buses, correct?
Alfred Poor: Yes, correct. In terms of the total buses there won't be any activity in Q4.
Jim Mitchell: And then lastly, going forward, will you provide say, monthly updates similar to an auto manufacturer on deliveries versus having to wait for the quarter release?
Alfred Poor: It's a possibility. We've been asked that. We are discussing that internally now. There is a process by which -- particularly for the taxi so I'll explain in a moment how that works. It's a very rigorous invoicing process that takes place in China. So they're full invoice records, but they're also delivery records. So the delivery records as they take place the vehicles are more or less checked in for lack of a better term. Okay and then it's a period in which they need to be inspected to make sure as they're taxis they're licensed vehicle on the road as part of the taxi operating commission. So they need to be checked for roadworthiness to make sure brake, brake lights, those types of things are not faulty even though it's a new vehicle. That process takes a little bit of time. So the invoicing takes place immediately as they've delivered but there is a process in which they kind of verify this accepted through the taxi commission as well so that adds a little bit of a delaying. But so far we haven't had any rejected so it's just more or less a paperwork exercise for the groups on taxi commission. As you can imagine, if you're putting through -- even last quarter what is well over 1,000 taxis a month. That's about 30 to 40 taxis per day that somebody has to manually inspect then sign off the acceptance paperwork because there is a short period after the invoicing in which they were allowed to return the vehicle if they reject any.
Operator: Thank you. Our next question is coming from Sahal Amamochi [ph] a Private Investor. Your line is now live.
Unidentified Analyst: Hi, how are you? I'm one of your investors. I used to invest before when the name was Seven Stars and now it's Ideanomics. We are just hearing promises and we saw nothing actually. We are really frustrated as investors. Now your share is below $1 aftermarket -- before market. We still need to see what you did in third quarter.
Alfred Poor: Okay. Obviously, I understand the frustration. Here we are building a business and we did change the business. These are important questions that you're asking. Thank you for asking them. You will see what we did in the third quarter obviously because we've recorded $2.9 million worth of spread seas from the taxis. And we have ongoing taxi activity now as well. Our EV revenues are underway. Because of some of the complexity in the market as regards financing for EV vehicles as opposed to combustion engine vehicles, we had to put together a consortium of partners to find a financing package that can work for the EV fleet operator industry. That's given us some delays. We are hopeful we can achieve things quicker but we wanted to give a very conservative outlook that it will take us the rest of Q4 to get those packages built and Q1 to roll them out because we do need to set up as I said some special purpose vehicles and some other things for legal and financial reasons about the way that we manage those relationships with the financing partners. And then we're confident from Q2 onwards we can begin to fulfill the financing of the entire market needs. This is not a problem of Ideanomics. This is a problem of the EV industry and under the dynamic for residual values.
Operator: Thank you. Our next question is coming from Dan Potter [ph], a Private Investor. Your line is now live.
Unidentified Analyst: I just had a quick question regarding -- so on the last quarter conference call, Mr. Poor, you had advised that you would expect to see quarter-over-quarter growth in this quarter. Can you just kind of talk about where the shortfall came in? Because we're nowhere near what we were last quarter, let alone any growth on top of that. And whatever the shortfall was, do you expect that to come into play in future quarters or is it just something that went awry either with GT Dollar or one of the other deals?
Alfred Poor: There are really 2 foundational elements for that. The first one is we had been working very hard to get liquidity out of GT dollar. That hasn't been possible so that has obviously impacted our ability to get cash on to the books. It's also seen us not bail for any additional fees for the GTD and as I mentioned, we're in some discussions to look at the discussions with another party who's interested in perhaps taking that over from us. So we can realize some value out of it at this time. Second part is kind of touched upon. Is when we took the order over initially, we felt that we could put the gross revenues, but in discussions with Connor and our external auditors, because the majority of the invoicing had already taken place between 2 other parties, and we essentially came in and took the deal over and got it over the line and got the additional taxis delivered. We were able to take the commission spread but we weren't able to book the gross numbers as we originally thought we had. When we made those comments, we weren't aware that the invoicing had actually taken place. And in China, there's a fairly rigorous invoicing process. You get a reference number from the government. So once an invoice is issued, the VAT or the state tax, whatever you want to call it, the equivalent in China is payable immediately. So once that had happened with the party that we took the deal over from, there was no ability for us to re-invoice and record those revenues.
Operator: Thank you. Our next question is coming from Miles Murphy from Miles Re-investment [ph]. Your line is now live.
Unidentified Analyst: Good morning, Alf. Thanks for the time. A couple of my questions were already answered by prior investors. I am curious considering that investors have shed about 80% of the value their holdings, including about 40% of our market cap eliminated this morning. What is the company's plan for defending shareholder value? And or when can we expect analyst coverage to help explain the value or interpret the value of the 4 MEG divisions and how those revenues will develop over the coming quarters and or years?
Alfred Poor: This is an important point you make. Thank you for asking this question. We had a disappointing quarter as you saw, but we also had a watershed moment in that the revenues got underway. This is an entirely new business unit for us and a very exciting one. As you know, the size and scale of China gives us access to tremendous revenue and tremendous gross revenues and gross profits. If you take a step back and you look at what we're doing and who we're working with, the lease financing partners that we originally had in place had indicated to us that they would be able to support us under their current capital market structure i.e. the way they borrow the money, off the capital markets and lend it back out. That has proven not to be as simple as that. And we found that the terms that they can offer because electric vehicles are underwritten very differently to internal combustion engine vehicles, we had to take a step back and find a method to which to help these fleet operators. By the way, many of them are on the legislative orders to make the changes over to electric fleets. This is not something that they can take their sweet and every time about. They're under the gun in terms of carbon emissions and there will be -- it will be difficult for them not to comply with the government regulations in that regard. So we've gone out, we've structured financing with a consortium of life insurance companies. You will notice that we put out press releases with partnerships with large utility companies such as Three Gorges and GCL. These guys have large amounts of cash on the balance sheet and have come in to support us as part of the SPD that's going to be put together to provide that financing for the market. At that point, we can be confident that we can get the fleet operators what they need, which is access to capital without overbearing large deposits that they would otherwise need to pay. Then that's going to be the catalyst for the order fulfillment in next -- concludes the one with 2020.
Unidentified Analyst: I guess, to expand on that, can you simplify the response in terms of shareholder value and or having analyst coverage that helps us interpret that? I understand personally, the MEG process and what that's going to look like. Like I said, considering that we're down 40% free market under $1, 80% equity lost. Clearly the market doesn't. So that's why I'm asking when does someone come in and help explain that if we're not able to as a company. Any analyst coverage in expectation of that? Can you answer that?
Tony Sklar: I can weigh in on the analyst coverage, for sure, absolutely because I think that's a super important point. Because a lot of the new -- these operations are quite new, it's going to be challenging for what you would consider mainstream analysts to have comparative. So we're going to -- the company is going to make a valiant effort to put more information into the marketplace, as it pertains to the forward-looking sales and types of vehicles and the specifics that analysts inevitably need to make a more informed report and be able to give what inevitably analysts do guidance and break down what the revenues are going to look like quarter-over-quarter. So we have a plan at the end of Q4 here and during Q1 to specifically give the information to the market that pertains to what the vehicles, more specifications of that and each one of the particular subsidiaries as well. So we're going to get that information into the hands of the public and we're hoping that that should spur more analyst coverage. But I caveat that by saying that without having a track record that is consistent within a strategic business, which is the electric vehicle business, is going to be difficult for analysts to start to unpack at the level that you were speaking at.
Operator: Thank you. Our next question is coming from John Hurley [ph], a Private Investor. Your line is now live.
Unidentified Analyst: Sorry about that, guys. Thanks for the time again. Just quick question following up on some of the last couple of questions as far as investor value. With Q4 looking at another 5,000 in taxis and probably not much else, can you talk about expenses versus another $2.9 million in profit and how you guys think about when that EPS probably switch towards profitability? Where do you guys look at that from a timeline perspective?
Alfred Poor: Clearly, for us we've taken a conservative view. Again, if you -- we had a number of burn time expenses in Q3 particularly the options expense and the write-down of the buildings that have been demolished. So those are not cash expenses. Very important for the audience to understand that. Q4 will give us a number slightly above what we saw in terms of the net spread. There will also be some lease financing fees generated there as well because we do get paid on the lease financing that we put in place. But effectively we will be waiting for those new financing packages to become available. At the moment we do very bespoke negotiations and the idea with the new -- but that's obviously going to be difficult to scale as I mentioned in my comments. The Q2 onwards will be where we effectively have the programs in place to be able to scale the support the fleet operators are looking for.
Operator: Thank you. We have reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further closing comments.
Tony Sklar: Thank you very much, everybody, for the time that you had today. This concludes the Ideanomics Q3 2019 investors conference call. We encourage our community to continue to reach out to us as we continue to answer questions from you individually and you can send your questions into us at ir@ideanomics.com. We'd like to thank our listeners, shareholders and analysts and others who've taken the time to listen to our earnings call. We urge you to refer to our latest SEC filings for any additional information that you may need. This call will be available from our website in the Investors Section and you will find the link there along with a summary in a PowerPoint PDF. To be alerted with news, events and other information in a timely manner, we recommend all of you follow us on our social media channels and sign up to our newsletter and explore our website at www.ideanomics.com. Thank you, everybody, for participating and listening on today's call.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.